Operator: Good morning. My name is Denise, and I will be your conference operator today. At this time, I would like to welcome everyone to the Community Health Systems fourth quarter 2017 and year-end 2017 conference call. I would now like to turn the call over to Mr. Ross Comeaux, Vice President of Investor Relations. Please go ahead.
Ross Comeaux - Community Health Systems, Inc.: Thank you, Denise. Good morning and welcome to the Community Health Systems fourth quarter and year-end conference call. Before we begin the call, I'd like to read the following disclosure statement. This conference call may contain certain forward-looking statements including all statements that do not relate solely to historical or current facts. These forward-looking statements are subject to a number of known and unknown risks, which are described in headings such as Risk Factors in our Annual Report on Form 10-K and other reports filed with or furnished to the Securities and Exchange Commission. As a consequence, actual results may differ significantly from those expressed in any forward-looking statements in today's discussion. We do not intend to update any of these forward-looking statements. Yesterday afternoon, we issued a press release with our financial statements and definitions and calculations of adjusted EBITDA and adjusted EPS. For those of you listening to the live broadcast of this conference call, a supplemental slide presentation has been posted to our website. We will refer to those slides during this earnings call. As a reminder, our discussion of our results excludes Quorum Health Corporation, the joint venture in Las Vegas that was sold to UHS, the company's home care division and the 30 hospital divestitures. All calculations we will discuss also exclude the overall impact due to the change in estimate to increase contractual allowances and provision for bad debts, discontinued operations, loss from early extinguishment of debt, impairment expense as well as gains or losses on the sale of businesses, expenses incurred related to divestitures, gain on sale of investments in unconsolidated affiliates, expenses related to government and other legal settlements and related costs, expenses related to employee termination benefits and other restructuring charges, expense from fair value adjustments on the CVR agreement liability related to the HMA legal proceedings and related legal expenses. With that said, I'd like to turn the call over to Mr. Wayne Smith, Chairman and Chief Executive Officer. Mr. Smith?
Wayne T. Smith - Community Health Systems, Inc.: Thank you, Ross. Good morning and welcome to our fourth quarter conference call. Tim Hingtgen, our President and Chief Operating Officer, is on the call today along with Tom Aaron, our Executive Vice President and Chief Financial Officer. On the call today, I'll provide some comments on our company as well as our performance during 2017 and then I will turn the call over to Tim who will discuss some additional detail around our operations and Tom who will provide some more color on our fourth quarter financial results and walk through our initial guidance for 2018. In terms of the quarter, we're pleased with our progress during the fourth quarter which produced results largely in line with our internal expectations. In the fourth quarter, we drove improved net revenue performance both sequentially and year-over-year. Looking at our year-over-year performance, our same-store net revenue was up 1.8%. Adjusted EBITDA of $409 million for the fourth quarter came in within our guidance and adjusted EBITDA margin of 11.2% was an improvement compared to our performance in the second and third quarters of the year. As you know, we've been optimizing our portfolio through select divestitures of non-core assets to refine our portfolio to better markets. At the same time, we've also been investing capital and resources in these core remaining markets to position our company for improved growth. During 2017, we completed divestiture of 30 hospitals, the last two of which closed November 1. So those 30 divestitures largely out of our portfolio during the fourth quarter, we're pleased to see improved same-store net revenue and EBITDA margin performance to close out 2017. As such, we believe our portfolio is well positioned with strong momentum heading in 2018 and we see a number of opportunities to drive even better performance in 2018. Before I comment on 2018, I'd first like to highlight a number of achievements in 2017. First, improving the quality and safety of care for our patients and communities remains a key component of our strategy. We remain committed through both investments and resources to deliver the highest level of care to our patients throughout their continuum of care within the healthcare system. One quality metric that we track is Serious Safety Event Rates, or SSER, the most recent measure of our serious safety rate, showed an overall 81% reduction from the baseline set in 2013 for our legacy hospitals and a 57% reduction since the baseline set in 2015 for HMA hospitals. We are pleased with the progress in what it says about our organization, wide commitment to patient safety. It's also worth noting that we saw a decrease in hospital-acquired conditions and hospital-acquired infections. Second, we executed on a number of strategic initiatives across multiple fronts that have strengthened the foundation of our company for improved growth. I'll mention just a couple of these and Tim will provide additional detail on those later in the call. During 2017, we reinforced our competitive position in our core markets. We enhanced our connectiveness with patients and we made investments to improve our operational efficiency. A few examples of these include the opening of a number of access points in 2017 with a healthy pipeline for 2018 and 2019 to strengthen our core markets; the build-out of our proprietary transfer center here in Franklin; the planning and subsequent launch of our ACO program in early 2018; implementation of centralized and online scheduling across our physician practices; and other enhanced capabilities to connect patients across our continuum of care and the leveraging of our data analytics technologies across the organization. We believe all these initiatives as well as a number of others position our company for improved performance during 2018. Third, we continue to make progress on our portfolio optimization efforts. During 2017, we closed on 30 hospital divestitures. These 30 hospitals have below corporate average volume and payer rate growth, mid-single-digit EBITDA margin, and were a drag on our cash flow. These divestitures were executed at attractive multiples allowing us to pay down our debt during 2017. The divestitures of these assets allow us to shift more of our resources to hospitals and networks with stronger market positions, higher growth potential and better profitability. And while we're getting closer to where we would like to be as it relates to the number of hospitals we operate, we're currently working on additional divestitures. As we look at 2018, we expect to close hospital divestitures by the end of 2018 that accounted for approximately $2 billion in net revenue in the full year of 2017 and mid-single-digit EBITDA margin. In 2018, we expect these divestitures to generate approximately $1.3 billion of gross proceeds which does not include the retention in net working capital. We expect the proceeds from these divestitures to be used for incremental debt pay down. And on slide 15 and 16, we highlight the benefit of removing these hospitals out of our portfolio. During the fourth quarter of 2017, if these divestitures are removed from the results, our adjusted admissions are improved 30 basis points and our EBITDA margin improved 60 basis points higher. Beyond the $2 billion of divestitures I've just mentioned, we will continue to work to optimize and strengthen our portfolio. Now, I'd like to talk about our full year 2018 guidance, and Tom will provide more details in a minute. Our 2018 guidance includes net operating revenues adjusted for expected divesture timing are anticipated to be $13.6 billion to $13.9 billion. Adjusted EBITDA is anticipated to be $1.55 billion to $1.65 billion. We're pleased with our progress in the fourth quarter and expect to carry that momentum through 2018 as we execute strategies that we believe will strengthen our core business and drive improved results. I'll now turn the call over to Tim for additional comments.
Tim L. Hingtgen - Community Health Systems, Inc.: Thank you, Wayne. Overall, we had a good fourth quarter. We drove better same-store net revenue growth and converted a higher percentage of that revenue to EBITDA during the fourth quarter than the prior two quarters. And we are entering 2018 with improved momentum across the business and a stronger portfolio of hospitals and markets. As Wayne mentioned, we made a number of strategic investments in 2017 that should help to drive better growth in 2018 and beyond. During the middle of 2017, we completed the build-out of our proprietary transfer center and access program here in Franklin, Tennessee, which has the infrastructure to be leveraged across multiple hospitals and markets. As a reminder, this is a program that we centralized and in-sourced to help to better manage the inbound referrals to our hospitals and their emergency departments from both our affiliated and non-affiliated hospitals in a particular region. To-date, we have deployed this model in select regional networks that include 25 of our hospitals, and we will substantially increase the count with our schedule to market implementations through the balance of 2018. While this in-house service has been in operation for a relatively short amount of time, we are experiencing the benefits we expected. First, we are able to safely and promptly transfer patients to the most appropriate care setting. We are also seeing increased admissions in most markets included in the launch, particularly in service lines such as critical care, GI, cardiovascular and neurosciences. In general, we are experiencing better patient retention within our healthcare systems and increasing referrals from non-CHS hospitals. The program is also providing greater transparency into the daily operations of our emergency department, bed management, and case management functions, which has resulted in some refinement of internal processes to improve throughput at the hospital level. And we now have real-time data that shows where we can accelerate strategic service line development to support patient care needs and to appropriately retain even more patients within our healthcare systems. We have also been leveraging the lessons learned from our initial deployments and have created and shared playbooks with other hospital leaders ahead of their scheduled deployment of our in-house transfer center model so that they can begin identifying operational and growth opportunities in advance. All in all, we are seeing solid results and expect to see further improvement going forward. Another priority strategy that we have broadly launched is our Accountable Care Organization initiative, or ACOs, which just commenced on January 1 following months of detailed planning and development in 2017. Nearly every CHS-affiliated hospital is enrolled in one of these 15 newly created ACOs, and we are now partnering with more than 4,000 employed and independent physicians in this coordinated population health model. Of note, two-thirds of these providers are independent providers within our markets. Through these ACOs, we are focused on caring for more than 260,000 attributed Medicare fee-for-service patients. In addition to advancing quality and outcomes for this particular Medicare population, we are committed to stronger alignment with both employed and independent physicians for all of their patients. We believe this strategy will provide multiple benefits, including the ability to further advance value-based care and population health management with other payers into the future. Along with these initiatives, we have continued to invest in access points and other outpatient capabilities to ensure we are strategically advancing our market development across the broader continuum of care. During the fourth quarter, we opened two new freestanding EDs or FSEDs, one in Las Cruces, New Mexico, the first FSED to open in that state, and the other in Clarksville, Tennessee. In the first half of 2018, we are opening an FSED in Petersburg, Virginia as well as our second FSED location in the Tucson market. We've also been focused on the addition of new urgent and walk-in care centers across our markets. In 2017 we expanded these immediate care locations by approximately 20%, and we have a very robust access point development plan to open additional FSEDs, urgent and walk-in care clinics, ASCs, and imaging centers through 2018 and 2019. I would also like to comment on our corporate divisional operations structure and other expense management opportunities. Throughout 2017, as we divested certain assets, we have also worked to incrementally reorganize our corporate team and to lower corporate overhead while maintaining a high level of support and resources for our local markets. In early 2018, we eliminated an operating division at our headquarters and at the same time created two new regional leadership roles. So we now have two division teams at the corporate office and regional presidents in six key markets. You may recall that last year we established new regional leadership roles for tenured, experienced hospital and market CEOs. These were for our operations in Tucson, Arizona; the Lutheran market in Fort Wayne, Indiana; our Alabama markets; and Merit Health in Mississippi. We have now added our Bayfront hospitals in Florida and our Tennova hospitals in Tennessee to this model, which we believe is working well and can help accelerate progress moving forward. Regional presidents directly avail themselves of our corporate resources and supporting departments, so we are not duplicating corporate services in each of these regions. The regional presidents are based in their markets and have a broad responsibility to drive forward key strategies and to build deeper relationships in our communities. The regional presidents report directly to me. And together, we remain focused on delivering our hospital leaders heightened responsiveness and support, which will invariably lead to stronger market competitiveness. In terms of cost management, we continue to focus on improved efficiency across all three of our primary expense lines. For SWB, we have demonstrated improvements, but continue to see opportunities by utilizing our labor analytics tools. On the supply expense front, while we have performed well on the drug side, we expect to drive savings in other categories by leveraging recent data enhancements and by implementing a more coordinated supply formulary approach to utilize this data. And on the other expense line, we are working on a number of strategies to lower this cost, including the potential to in-source certain hospital-based services from an outsourced model. So in summary, we saw better performance during the fourth quarter. We are encouraged by the potential we still see moving forward, and we expect to build upon recent achievements as we drive additional improvements throughout 2018 and enhance our organizational effectiveness. Tom?
Thomas J. Aaron - Community Health Systems, Inc.: Thanks, Tim. Before we discuss the specifics of the quarter, we would like to first talk about two non-cash accounting adjustments recorded during the fourth quarter. As mentioned in our earnings release, during the three months ended December 31, 2017, we recorded a non-cash impairment charge of $1.76 billion for the impairment of goodwill and other long-lived assets. This included a write-down of $1.42 billion to goodwill for the company's hospital reporting unit, primarily due to the decline of market capitalization and fair value of long-term debt as well as lower than expected earnings performance. We also recorded a non-cash impairment charge of $341 million to reduce the value of long-lived assets in hospitals sold or identified for sale at certain non-performing hospitals. These impairment charges are excluded from our calculation of adjusted EBITDA and do not impact our financial covenant calculations. Also mentioned in our earnings release, we adopted the new revenue recognition accounting standard on January 1, 2018, as required by generally accepted accounting principles. This new standard impacts our revenue and receivables estimates by moving to a model that recognizes revenue, only to the point that it is probable but a significant reversal in the amount of revenue will not occur and requiring that revenue recognized be disaggregated into categories that depict how the nature, amount of timing, and uncertainty in revenue and cash flows are impacted by economic factors. In anticipation of adopting the new standard, during the three months ended December 31, 2017, we completed an extensive analysis of our patient revenue and receivable transactions. We developed and tested new programming that enabled us to extract and disaggregate data in accordance with the standard and finalized new accounting processes and methodologies. This analysis resulted in a change in estimate we recorded in the fourth quarter to increase contractual allowances by approximately $197 million and the provision for bad debt by approximately $394 million for a total of $591 million. Based on our modeling of this new method against recent prior years and comparing results with the 2017 impact, the method did not materially impact those recent prior years. And we do not expect the application of these new accounting processes or the adoption of the new revenue recognition standard to impact our go-forward net revenue, EBITDA, earnings or cash flow run rates. Also this change in estimate is excluded from our calculation of adjusted EBITDA and excluded from our calculation of financial covenants and our credit facility. Back to our fourth quarter performance. First, same-store net revenue increased approximately 1.8%, which was slightly ahead of our internal forecast. During the fourth quarter, we drove an improved adjusted admissions and net revenue per adjusted admission growth. Overall, adjusted EBITDA of $409 million was within our implied guidance range. On the expense front, we made sequential same-store progress across salaries, wages and benefits and our other operating expense line. And we saw continued recovery in hospitals impacted by the hurricanes in the third quarter. Moving to the results of the fourth quarter on a quarter-over-quarter basis, as a reminder, calculations discussed on this call exclude items we have noted earlier. On a same-store basis, for the quarter, we noted the following. On a comparative fourth quarter of 2016 versus 2017 basis, net revenues increased 1.8%. This was comprised of a 2.7% increase in net revenues per adjusted admissions and a 0.9% decrease in adjusted admissions. Our inpatient admissions declined 1.7%. An increase in observation days and lower child deliveries drove the majority of the decline. Our ER visits were up 1.4%. Our surgeries decreased 0.9%. Our net outpatient revenues before the provision for bad debts was 57% of our revenues. Consolidated revenue payer mix for the fourth quarter of 2017 compared to fourth quarter of 2016 shows managed care and other, which includes Medicare Advantage, increased 120 basis points; Medicare fee-for-service decreased 190 basis points; Medicaid decreased 40 basis points; and self-pay increased 110 basis points. Consolidated revenue payer mix on a full-year basis shows managed care and other increased 80 basis points; Medicare fee-for-service decreased 130 basis points; Medicaid increased 20 basis points; self-pay increased 30 basis points. In terms of Medicaid supplemental programs such as DSH, LIP, UPL, Texas Supplemental, et cetera, since 2015, we have experienced reimbursement reductions of over $100 million. However, as we think about the outlook for 2018, we expect the reimbursement environment to be more stable. For the full year, the sum of consolidated charity care, self-pay discounts, and bad debt expense for the three-month comparative period has increased from 26.5% to 30.4% of adjusted net revenue, a 390 basis point increase. During the same period, same-store increased 130 basis points to 30.4%. Our bad debt expense as a percent of net revenue before bad debt was higher during the fourth quarter of 2017 compared to the first three quarters of the year. For the full year, the sum of consolidated charity care, self-pay discounts, and bad debt expense increased from 26.2% to 29.6% of adjusted net revenue, a 340 basis point increase. The year-over-year increase for the quarter and for the full year was driven by higher self-pay discounts as a percentage of total revenue. For the full year, same-store increased 160 basis points to 30.7%. For the same-store expense items, our salaries and benefits as a percentage of net operating revenues for the same-store has decreased approximately 20 basis points. The decrease was driven primarily by improved FTE management. Supplies expense as a percent of net operating revenues for our same-stores increased 70 basis points, driven primarily by higher implant costs. Other operating expenses as a percent of net operating revenues for our same-stores increased 230 basis points. Increases in fourth quarter of 2017 versus fourth quarter of 2016 were driven primarily by higher medical specialist fees, purchase services, taxes, and insurance. On a same-store basis, sequentially versus the third quarter of 2017, we drove improved expense as a percent of net revenue by two operating expense lines. Salaries, wages and benefits decreased 110 basis points, and we delivered 50 basis points improvement on our other operating expense line. Switching to cash flows, our cash flows provided by operations were $156 million for the fourth quarter of 2017. For full year 2017, our reported cash flow from operations was $773 million. This compares to fourth quarter 2016 cash flow from operations of $327 million and full year 2016 cash flow from operations of $1.137 billion. In terms of the year-over-year decrease, during 2017, there're a few items worth noting versus the prior year. Divestitures, working capital changes, and other decreases reduced cash flow by approximately $140 million; the timing of payments for payroll negatively impacted cash flow by approximately $70 million; retirement benefit plan payments for retirees and for payments to employees at divested hospitals were an approximately $70 million of reduction. The decrease in cash received from HITECH was roughly an $80 million reduction. During the fourth quarter of 2017, we experienced $37 million reduction to our cash flow from operations related to retirement benefit plan payments for retirees and employees at divested hospitals. We expect these retirement benefit payments to be lower for 2018. Turning to CapEx, our CapEx for the fourth quarter of 2017 was $136 million or 3.7% of net revenue, while our full year 2017 CapEx was $564 million or 3.5% of net revenue. During full year 2016, our CapEx was $774 million or 4.0% of net revenue. When comparing net year-to-date CapEx to previous year amounts, 2017 CapEx is lower due to limited replacement hospital spending and more targeted CapEx focused on our higher return core hospitals. We're also allocating a higher percentage of CapEx towards additional access points as well as service line build-outs in our cardiology, orthopedics, and other high-acuity areas. Looking at CapEx spend in 2018, we expect these trends to continue. Moving to the balance sheet, our net debt has improved by $1.66 billion during the year. At the end of the fourth quarter, we had approximately $13.9 billion of long-term debt, which is down from $14.8 billion of long-term debt at the start of the year. Our current maturities of long-term debt at the end of the year were $33 million versus $455 million at the end of 2016. And at the end of the fourth quarter, we had approximately $560 million of cash on hand on the balance sheet compared to roughly $240 million at the end of 2016. We had no outstanding balance on our revolver at December 31, 2017. As it relates to our pending HMA legal matters, there has been no material change for several quarters. We continue to revalue the estimated liabilities covered by the CVRs on a quarterly basis. Our current estimate includes probable legal fees, continues to reflect that there will be no payment to the CVR holders. As part of our comprehensive approach to our capital structure, on February 26, 2018, our credit facility was amended with requisite revolving lender approval to remove the EBITDA to interest expense ratio financial covenant, to replace the senior secured net debt to EBITDA ratio financial covenant with a first-lien net debt to EBITDA financial ratio covenant, and to reduce the extended revolving credit commitments to $650 million. The new financial covenant provides for a maximum first-lien net debt to EBITDA ratio of 5.25-to-1, reducing to 5.0-to-1 on July 1, 2018; 4.75-to-1 on January 1, 2019; 4.5-to-1 on January 1, 2020; and 4.25-to-1 on July 1, 2020. In addition, we agreed, pursuant to the amendment, to modify our ability to retain asset sale proceeds and instead to apply them to prepayments of term loans based on pro forma first-lien leverage. So, overall, with this amendment, we replaced our covenants and we've reduced our revolver. I'll now walk to our 2018 guidance. For 2018, our full year guidance includes the following. First, our guidance assumes the divesture of hospitals that account for approximately $2 billion of net revenue in 2017 with mid-single-digit EBITDA margins. We expect these divestitures to close in 2018 and contribute revenue of approximately $1 billion to our 2018 results. So we want to reiterate the divestitures are in our guidance because – anticipate divestitures because all Street models did not appear to contemplate divestitures. Same-store adjusted admission growth is anticipated to be down 0.5% to up 0.5%. For 2018, net operating revenues less provision for doubtful accounts are anticipated to be $13.6 billion to $13.9 billion after adjusting for the timing of the expected divestitures. Adjusted EBITDA is anticipated to be $1.55 billion to $1.65 billion. Cash flow from operations is forecasted at $700 million to $800 million. In terms of taxes, the Tax Cuts and Jobs Act was signed in December and went into effect in 2018, resulting in a decrease in corporate tax rates from 35% to 21% as well as changes to interest deductibility in the expensing of CapEx. At the end of 2017, we had a gross federal net operating loss carry-forward of approximately $610 million. Due to our NOL, we do not expect to be a federal cash taxpayer in 2018. CapEx is expected to be at $475 million to $575 million. We expect HITECH incentives to be close to zero compared to $28 million in 2017. Income from continuing operations per share diluted is anticipated to be a negative $1.50 to $1.10 based on weighted average diluted shares outstanding of 113 million to 114 million. I'll turn it back to Wayne.
Wayne T. Smith - Community Health Systems, Inc.: Thanks, Tom. At this point, Denise, we're ready to open it up for questions. We will limit everyone to one question, so several of you will have the time on the call. But as always, we're available to talk to you. You can reach us at area code 615-465-7000.
Operator: Your first question comes from A.J. Rice with Credit Suisse. Your line is open.
A.J. Rice - Credit Suisse Securities (USA) LLC: Hi, everybody, and thanks for the extensive comments there. I'm going to ask Tom about a couple non-operating things he's saying here, two parts, I guess, to this question there. In terms of what you're doing with the banks, you described it as replacing the covenants and downsizing the credit lines and I guess getting at flexibility on the asset sale proceeds. Obviously, there's been a lot of focus on your 2019 and 2020 maturities. Is this a stepping stone to what you're trying to do there? Does it relate to that in any way? And then second on that, can you give us any sense of how much relief, at least relative maybe to your 2018 outlook, the change in covenants gives you? How much cushion are you running with at this point? And then we're all scratching our heads, I think, a little bit on these changes. What you did with contractual allowance and bad debt seems very similar to what one of your peers did, but still the numbers are so big. I'm trying to understand. Does that call into question the quality of operating income over the last few years, and does it not have some implications for going forward in the way you reported bad debt and revenues and so forth?
Thomas J. Aaron - Community Health Systems, Inc.: All right. Thanks, A.J.
Wayne T. Smith - Community Health Systems, Inc.: Hey, A.J., that was a unique way to get in three questions.
Thomas J. Aaron - Community Health Systems, Inc.: All right, so let me start on this. So first of all, we've been messaging that our nearest maturities are November of 2019 and that we intended to proactively manage those, so those don't become current in November of 2018. So this amendment, A.J., I think it's fair to say that was a first step for us. It does give us additional cushion than we otherwise would have had under the covenants. We're currently – under that calculation, we're about 4.04-to-1 on first-lien. And so we like where that places it, and like I said, a good first step for us. The second part of your question on the accounting adjustment, so that is going from really GAAP that we were following with respect to our receivables, which was preparing your best estimate of where you're going to be coming in on the value of receivables, to a new standard that basically indicates that you do not recognize revenue unless you're pretty assured the amount you're recognizing will not reverse. So it's very much different. It's not necessarily a net realizable value. It's a – you do not recognize the revenue. So when you compare the size of the adjustments, it's going to depend on how filers would have historically set their reserves. We've had higher days. We kept our self-pay on our books. Internally, we pursued those and gone after those for collection. So moving to this new method, it is a more conservative method. We had to anticipate with the new standard, we felt things that might impact the collectability and make sure that the amounts we set up were more conservative. So that included for – if you take a look at third-party payments, anticipated denials using our history on the transactions to anticipate denials from third-party payers, any audits that may come out from third-party payers and also our self-pay. So we did run the model backwards, as I mentioned, and to several prior years to see the impact of that. And if you think about going from a standard where you were maybe less conservative to one that's more conservative, really when we look at ours, it did not have an impact. And if you think about it, it probably has an impact when the size of your balance sheet is growing through acquisitions and potentially receivables that come on board from a large acquisition. We've had a couple of very large ones. So we've been pretty steady. We're down to 127 hospitals from nearly 200. Our balance sheet has been shrinking. And so running this model backwards, we clearly did not see any material changes in our run rate. And we don't expect – because of that, we don't expect any impact on our future EBITDA, cash flows, or operations from the new standard.
Operator: Your next question comes from Chris Rigg from Deutsche Bank. Your line is open.
Chris Rigg - Deutsche Bank Securities, Inc.: Thank you. Just a follow-up on those last comments here just to make sure I'm getting the math correct. So, on a prospective basis, the operating revenue that you would recognize would be less, but so would the bad debt, so you kind of end up in the same spot, if I'm saying that correctly. And then with regard to the receivables reduction, is it your opinion that the collectability, the $591 million is unchanged because of the accounting change or do you think that $591 million is actually going to be less as those receivables run out over the long term? Thanks.
Thomas J. Aaron - Community Health Systems, Inc.: Well, whatever we were going to recover on our receivables is unchanged by the accounting. That's merely how we report it financially. And I think I went through, we had a method that historically we were booking exactly to what our historical experience had been and what the new standard. We felt that that was requiring a more conservative amount that you set those on your books. And so, that was the adjustment. And I think the point we're making when you reset your balance sheet for this new standard in prior years and what we anticipate down the road, they're going to be adjusted consistently and that's why there's not – we didn't see it historically and we don't expect it going forward, any impact on the run rate.
Operator: Your next question comes from Brian Tanquilut from Jefferies. Your line is open.
Jason Plagman - Jefferies LLC: Hey. This is Jason Plagman on for Brian. So on the expense side, you mentioned the opportunity to bring down the medical specialist fees. So what are the key components of that opportunity? Is it reducing coverage? Is it improving productivity somehow, or is it reducing subsidies? What are the moving parts that'll help you better manage that expense in 2018?
Wayne T. Smith - Community Health Systems, Inc.: So the first issue is that whatever we do will not in any way adversely affect the quality in our delivery of care. So, that's the first thing. And we have a number of initiatives, but I'll let Tim kind of talk about that.
Tim L. Hingtgen - Community Health Systems, Inc.: Thanks, Wayne, and thanks, Jason, for the question. We've been very focused on a by-market review of the coverage, as you suggested, to make certain that we have the appropriate mix of providers and hours of coverage commensurate with the cost of the program and the volumes of those programs. So as we've said on previous calls, there is – it does take some time to adjust those contracts due to normal out clauses 90, 120 days in some cases. So those are underway. The other thing as I mentioned in my comments that we're focused on is in some cases where we cannot get what we believe is a fair price from a contracted partner in the hospitalist service, ED group, whatever the case may be, we have started looking at in-sourcing those models. We actually have a couple of markets where we're bringing the program in-house with the support of the physicians in those markets, augmenting our physician practice services support here at corporate to make sure that we can do a good job on billing, collections and some management support of those services as well.
Operator: And your next question comes from Ralph Giacobbe from Citi. Your line is open.
Ralph Giacobbe - Citigroup Global Markets, Inc.: Thanks, good morning. Sorry to beat up the bad debt, but I just want to make sure I'm squared away on this. So over what period of time I guess was it? Can you tell us what was there for 2017? Anything around sort of it being from recently acquired versus legacy? And then I want to understand the MCO denials. That was, I think, almost $200 million of the true-up. My understanding is that typically goes into a bucket that either gets cleared through sort of future rate negotiations or litigation ultimately. So can you just help us on sort of the process of that and how that changes sort of with the new accounting policy? Thanks.
Thomas J. Aaron - Community Health Systems, Inc.: So, Ralph, on the contractual adjustments, there is a component of that that relates to reimbursements that we've received or are expected to receive from mostly Medicare and Medicaid cost report and related. It's about less – it's a little less than 10% of the total. So then the rest would be for receivables. And so historically – and this – again, this could vary by filer, but historically we've looked at those. We've successfully defended ourselves with denials. And under the standard, we just have to anticipate what the future denial activity is going to be from payers and how we think we're going to outcome to a point where we don't think our estimate is going to be short. And so, that is a new component where would you proactively think about what future denials are going to come in as one example on that.
Operator: Your next question comes from John Raskin with from Nephron Research. Your line is open.
Mary Shang - Nephron Research LLC: Good morning. This is Mary in for Josh. Just in terms of 2018 guidance, are you assuming any margin improvement in the underlying core business or is your expected margin improvement primarily the result of divestitures in 2018? And then how should we think about the timing of margin improvement in the core business as you can see these divestitures?
Thomas J. Aaron - Community Health Systems, Inc.: Okay. So, on the margin improvement, we think we're going to have to work to improve margin. We've got – we think on utilization as we've called out with respect to labor and supplies and so forth, on utilization we can control that. Sometimes, we cannot control the rate as much, so we'll have some pressures on that. Also, becoming a smaller company puts pressure on our base cost as a percentage of net revenue. We do believe that we're getting better with our service line focus and improving our acuity there which improves our rates, which will offset that. And ultimately, with our initiatives that Tim talked about around growth, the transfer centers, the ACOs, our service line initiative, that's what we're hoping on in the long term, drives up volume and increase volume we're able to capture, just like we did in the fourth quarter, a good portion of that to the bottom line.
Wayne T. Smith - Community Health Systems, Inc.: Tim, do you want to add anything to that?
Tim L. Hingtgen - Community Health Systems, Inc.: I was going to echo that we're focused on the net revenue conversion as we grow these volumes, as the growth strategies take root in the markets with very defined strategic plans. I'm keeping a close eye on what we're generating in incremental revenue, making sure that our costs are managed appropriately to drive a disproportional amount of that into margin.
Operator: Your next question comes from Ana Gupte with Leerink Partners Your line is open.
Ana A. Gupte - Leerink Partners LLC: Yeah. Thanks. Good morning. The question is about, can you give us some more color on the volume trends you saw in the fourth quarter and what the underlying drivers were around that? And given that the fourth quarter has seen severe flu and seasonality and all that, what gives you confidence on your – I think the point of flat volume growth into 2018?
Tim L. Hingtgen - Community Health Systems, Inc.: Sure. Ana, this is Tim. I'll take the first crack at it. As far as fourth quarter volumes, as I said, we were pleased that we saw some of the earlier work that we've done in the year in terms of service line development, recruiting the right doctors, the transfer centers. All of those things did show that we were driving our core book of business favorably. We saw those indicators move up rather consistently throughout the quarter in many of our markets. And as we said, we have some divestitures or potential divestitures. We're still focused on maintaining and growing those markets, but in a capital prudent fashion. So with our capital investments throughout 2017, we have been keeping a close eye on the returns on capital, are they generating the volumes in the fourth quarter that we expected, and overall we were pleased with the prognosis there. As far as any flu impact, we certainly took a look at that. We saw ED visits accelerate in the latter part of December. However, we saw a relatively concurrent drop in some of our elective ED cases. We monitor that by same-day cancellation indicators that we have on a daily basis. So we think it was kind of offset, meaning there was little, I guess, overall adjusted admission or earnings from the flu in the fourth quarter.
Thomas J. Aaron - Community Health Systems, Inc.: Ana, I would just add, the – when we look at our 2017 versus 2016 volumes, we had a leap day that happened to be a Monday which is our best day of the week in 2016 that we lost in 2017. We also had the impact of hurricanes in 2017. And then this caught out the pages 15 and 16 in our deck. It shows the impact of divestitures, the 2018 divestitures that we expect to pull those out and improves all of our volume trends which is consistent with what we saw with our divestitures in 2017. So those are a few opportunities for improvement there.
Operator: Your next question comes from Steve Tanal with Goldman Sachs. Your line is open.
Stephen Tanal - Goldman Sachs & Co. LLC: Good morning, guys. Thanks for the question. I guess I just wanted to understand a little bit better on the CapEx numbers. So as a percent of revenue budgeted for 2018, it would imply some savings coming from somewhere, especially kind of given the planned build-outs that you're talking to, so if you could just give us a little more color on that. And as relatedly, I'd like to understand what you kind of view is the right level of maintenance CapEx for the core portfolio.
Thomas J. Aaron - Community Health Systems, Inc.: Sure. Good question. So we've been talking in 2017 about the impact that the divestitures had on that. Early in 2017, we had identified the 30 hospitals we'd be divesting, and we made a decision to make the maintenance capital to keep things running and the patients safe. But we did not make strategic capital expenditures on those 30 divested hospitals. We let the buyers decide what – where they wanted to put that money. And so if you think about those, that would take your normal spend let's say around on an average run rate of 4%, down to about 1.5% or 1.9%, depending on the hospital. So that was one factor that had our CapEx as a percentage of revenue lower in 2017 versus 2018. The other factor was the fact that we did not have replacement hospital spend of any amount in 2017, and you compare that to, it's probably been 50 to 60 basis points in prior years. So when we look at 2018, we're going to have the benefit again of a divesture portfolio, $2 billion in revenue that is going to be coming out. We're going to have the benefit of – we don't have replacement hospital spend in 2018. And really, in both years, we also benefit from is we're investing, Tim mentioned, more in the outpatient setting. That's a little bit lower cost of spending on outpatient than we would see with replacement hospitals. I will call out that we do have replacement hospital commitments. They will be starting very late in 2018, 2019, and 2020.
Operator: Your next question comes from Peter Costa with WF Securities. Your line is open. Hello, Peter Costa, your line is open.
Peter Heinz Costa - Wells Fargo Securities LLC: Hi, sorry about that. Not to beat a dead horse, but I want go back to the provision conversation and the write-off there. If that didn't impact 2017 performance, does it impact the revenue guide to 2018? Is that the way we should think about that because it's money that you're not going to be collecting going forward or wouldn't have put into the provision going forward? Is that how we should think about that, and that's why the revenue guide is lower other than just the divestitures?
Thomas J. Aaron - Community Health Systems, Inc.: No, it does not impact our adjusted run rate. And maybe the way to look at that, Peter, is had we adopted that in 2016, we would have knocked our carried receivables down in that year, and we would have them down again in this year, so you would not have the impact of that. That's where we're going to be in 2018. They've been adjusted on the balance sheet for the new standard. At the end of 2018, they're going to be consistently presented, just like we were consistently presenting our old method, and that's why I mentioned, we did run it backwards to see if it impacted our run rate. And again, think about if you're going to a more conservative method where you get into impact on run rate or when you have significant growth or you have significant reductions in those amounts.
Peter Heinz Costa - Wells Fargo Securities LLC: Okay. And then if you don't mind, just the restriction on not using your cash going forward for other things besides paying down debt, how restrictive is that relative to your operations?
Thomas J. Aaron - Community Health Systems, Inc.: It really flexes with our first-lien leverage. So it goes anywhere from being highly restrictive if our leverage gets too high to – it opens that up to giving us up to 100% ability if we keep our first-lien leverage down. Net-net, it's a credit enhancement for the lenders, but it does give us the opportunity with performance that we could retain higher percentages.
Operator: Your next question comes from Kevin Fischbeck with Bank of America Merrill Lynch. Your line is open.
Kevin Mark Fischbeck - Bank of America Merrill Lynch: Okay, thanks. I wanted to better understand what you guys think the core EBITDA growth is at the company in this guidance in 2018 and what kind of same-store revenue growth you really need long term to show EBITDA growth or consistent margin stability or improvement.
Thomas J. Aaron - Community Health Systems, Inc.: We have been – just at high level, our net revenue per adjusted admission has been around 2% for the last several years. If you go back earlier than that, you would have seen it in the 5% to 7%. So in the 2%, it's been a challenge to grow the margin. We called out recently with the fourth quarter we've had a service line initiative going for a good portion of 2017. We've seen higher acuity across every one of our payer mixes in the fourth quarter and a lot of those throughout 2017, which we think is a good indicator that we're concentrating our services in these focused service lines. And so we think that will give us lift. We've also seen from the divestitures that the divested hospitals is for the same reason that the strategic buyers want to buy them, that they have opportunities to plug them into their networks and increase their rates. But in some markets, like for example our Tomball Hospital in the Houston market, that was our only hospital in that market, we were not able to get the rates that the strategic hospitals in that market could get. So just by eliminating with the divestitures in 2017, we think our ability to get rates will improve. The remaining hospitals are better positioned. We think the same thing is going to play out with the 2018 divestitures. So we think our rate environment and, as we called out earlier, we lost $100 million the last two years in just supplemental payments. We don't see any of that on the horizon. So we do think it's a better rate environment for us. That should help us chip away on growing our revenues in excess of the expenses and growing our core EBITDA.
Operator: And our last question comes from Whit Mayo with Robert Baird. Your line is open.
Whit Mayo - Robert W. Baird & Co., Inc.: Hey. Thanks. Just two quick questions. Tom, what will the other investment spend be this year? And then on the supplemental funding, can you just remind us on Florida, Texas Medicaid LIP, et cetera, what the headwinds and tailwinds are this year? I think you sort of characterize it as being more stable. Are there any numbers that you can put around that, that'd be helpful?
Thomas J. Aaron - Community Health Systems, Inc.: Okay. Well, what was the first part of the question again?
Whit Mayo - Robert W. Baird & Co., Inc.: On the cash flow statement, the increase in other investment spend.
Thomas J. Aaron - Community Health Systems, Inc.: Okay. So let me get on the supplemental payment side. I mean most of the decrease there, I believe in probably 2016, we had, I think, about $80 million just in Florida and Texas alone. We looked at that. It was not as significant last year, but it was a headwind. And in 2018, what we're looking at so far, it's pretty stable. I mean the LIP moneys in Florida are so low. They can't go much lower. There's not much they can take there. And when we see what we've got in Texas, that looks pretty stable. We do think there's some opportunities, there're some things going on in certain states for Medicaid expansion which we think could be helpful to us and also Texas-like programs in other states that we know are being considered that could give us a lift on that front. So it's, I'd say, a very stable environment relative to what we've seen with the new administration and all the other things going on. On the cash flow statement, the other investments, if you're asking what those are, a lot of those are primarily on the deferred IT spend, so capitalized IT projects. And there's a little bit in there for physician recruiting where we recruit independent physicians and we place them with an income guarantee. The biggest portion is capitalized IT cost, and that has been trending down in recent years, and we'd see that trend continuing.
Operator: There are no further questions queued up at this time. I'll turn the call back over to Mr. Smith for closing remarks.
Wayne T. Smith - Community Health Systems, Inc.: Thank you again for spending time with us this morning. We're focused on the strategies we have outlined today, and we are looking forward to a strong 2018. I want to specifically thank our management team and staff, Hospital Chief Executive Officers, Hospital Chief Financial Officers and Chief Nursing Officers, Division Operators for their continued focus on operating performance and quality. This concludes our call today. We look forward to updating you on our progress throughout the year. Once again, if you have any questions, you can always reach us at area code 615-465-7000.
Operator: This concludes today's conference call. You may now disconnect.